Operator: Good day ladies and gentlemen and welcome to the Sandy Spring Bancorp’s Third Quarter Earnings Call.At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, today’s call is being recorded.
Dan Schrider:
Ron Kuykendall:
Dan Schrider: We had a good strong profitable quarter and I want to quickly make some observations concerning our performance highlights and then cut right to your questions. I will keep my remarks brief today and on point this time because our results are very straight forward.We believe we have advanced through this unprecedented economic cycle to a point where we can begin to focus on the future. It also means we have moved beyond the main agenda that we knew you wanted to hear in our previous conference call.As you know, in our calls over the past several quarters we basically performed a drill down on loans, a detailed discussion quarter after quarter on credit quality metrics and our problem assets and rightfully so, but now we feel it makes sense to take a bit of a different turn.That said we’re in no way insinuating that our problem assets are out of the picture at all. There is no way they are totally behind us and there is still plenty of work to do to move all of these assets through the pipeline and off the books. But we do believe we have pushed our way over the hump and are well positioned to go out and return to the business of community banking making a profit and building market share as the largest and leading independent community banking company headquartered and operating in Maryland.Here are the major performance drivers for the third quarter as I see them; a reduced provision expense, a key driver of earnings. Our overall credit metrics were good. Our NPA levels were better, we had a reduced charge off level from the second quarter. There was a reduction in the overall level of reserves but we did improve our coverage ratio on non-performing loans for the third quarter.There were a couple of significant loans that went back on accrual status during the quarter; thanks to the huge efforts of the team we assembled early on to handle the work out process. Our margin has been holding up well and it ended above 360 at quarter end. It has been trending in that range and we feel we’re holding our own with respect to margin.Along those lines we have done a good job pushing our cost to funds down. This done in a highly competitive area with every large and small bank obsessed with the greater Washington marketplace and its great demographics, but we have deliberately managed the runoff of time deposits. Against growth we have achieve in demand deposits and other transaction based funds. The runoffs of the tie deposits is focused primarily on single service non-relationship accounts.On the flipside of the balance sheet, there has been further contraction in the loan portfolio, as production is very tough in this climate and while we continue to move weaker credits out of the portfolio.We see the business of producing quality loans the primary function of just playing lack of demand from our most creditworthy borrowers and to a lesser extent the competitive environment. We are operating in one of the best markets in the country and yet plain and simple the ongoing uncertainty about the economy is still a significant factor as we work with our great commercial client base.Non-interest income is off as expected as our service charges declined about 9% year-over-year and we’re also down versus the linked quarter. Obviously the new Reg E impact drove this but we still had very satisfactory opt-in ratios in line with our expectations.We continue to hold expenses down as the numbers will reflect for the quarter. One highlight you may not have picked up on is that we received recognition from Forbes as one of the most trust worthy companies included in their annual survey. We like this and feel the recognition is important.On the competitive front, we continue to benefit from an ongoing consolidation in the market. We’ve already added some new high quality professionals as a result of continuing consolidation and name changes that occur during the third quarter and we continue to have discussions ongoing with other quality folks who will like choose to join Sandy Spring, supporting our belief that we are the local employer of choice.Let me conclude my highlights with a comment about capital. Repaying the remainder of TARP continues as our highest priority and we believe the results we released today will demonstrate the stability and performance metrics to enable the US treasury to move forward and approve our request for the repayment of the remaining balance of treasuries investment. Our capital levels are currently healthy as everyone can see. Let me wrap up my comments by noting that this was our best quarter in over two years in terms of net income. So we feel we have come a very long way. We think we have done this expeditiously compared to our peers and that we have executed exactly as we had hoped to do on a respectable timeline.So above all, we want to be evaluated as a consistent dependable performer and so obviously we’ll be continuing to dedicate all of our resources to delivering on this as we emerge from this tough banking cycle.We’re well on our way out of this focusing on the business of dominating our community banking markets in this region and we have the team at Sandy Spring to do just that.We’ve covered most of the other key financial highlights in our press release today, so I will not read them over again and we will now move to your questions. Operator, we can have the first question and we would appreciate it as you do if you can state your name and company affiliation as you come on so we know with whom we’re speaking.
Operator:
Matt Schultheis – Boenning & Scattergood:
Dan Schrider:
Matt Schultheis – Boenning & Scattergood:
Dan Schrider:
Matt Schultheis – Boenning & Scattergood:
Phil Mantua:
Matt Schultheis – Boenning & Scattergood:
Dan Schrider:
Matt Schultheis – Boenning & Scattergood:
Phil Mantua: Matt this is Phil again, as it relates to the margin – first of all, the 364 in the current quarter was elevated slightly towards the end of the quarter because of some, as Dan mentioned, a handful of loans that came back on accrual status and therefore we had to reinstate some interest income there. So on kind of a run rate basis, there is probably 3, 4, 5 basis points in that margin that kind of gets you back to normalize. And yet having said that I would, I think that we – and I’ve said this for some period of time and that anticipates not a lot of movement in the broader market range that that margin is fairly well sustainable in and through the next few quarters as we need. So I don’t know that we see a whole lot more asset compression other than what can occur by cash flows in and out of the investment portfolio when we do have a fair amount of that given the mortgage backs that are in there. But we also do believe, we still have bit of room on the liability side again through what we’ll continue to do on the time deposit. So we actually have a 40% of our CDs again maturing within the next six months. And it appears that we can price the majority of those down little bit more first.
Dan Schrider: Hey, Joe, if I could before we take the next question, just in my comments with regard to asset quality metrics, that I misspoke the reduction from second to third quarter was in our provision expense not in our charge-off level and I used – I said charge-offs. Just wanted to clarify.
Operator: Our next question comes from Mike Shafir.
Mike Shafir – Sterne Agee and Leach: Hey good afternoon gentlemen.
Phil Mantua: I don’t mind Mike.
Mike Shafir – Sterne Agee and Leach: So this is Mike Shafir from Sterne Agee. And maybe if we can just follow-up on some of the questions that were asked previously on the NIM, specifically on the borrowings. If you’re looking at – looks like around 400 or so $409 million.
Phil Mantua: Correct.
Mike Shafir – Sterne Agee and Leach: How that rate that three could be fixed rate, how long are those fixed for and are is that a combination of some stuff that’s flattered, kind of what’s the duration on that borrowing piece?
Phil Mantua: Yes Mike, this is Phil. It is a fair amount flattered. Its primarily Federal Home Loan Bank callable advances and so as the rate environment continues as it does obviously there is not going to be a lot of movement in that element of the balance sheet. In terms of the average duration let me find that for you in a second here. It is about 56 months.
Mike Shafir – Sterne Agee and Leach: Okay.
Phil Mantua: At this point and that had certainly lengthened out a little bit here given what’s been going on, on the longer end of the curve in the last quarter. So and then there is also the one trust preferred issue that we had $35 million that is in a variable state today to LIBOR based credit and is obviously in this environment extremely cheap, somewhere in the two to 230 range. So that certainly helps for the time being.
Mike Shafir – Sterne Agee and Leach: Well on the float [ph] piece, I mean borrowing a significant like you said change in the rate environment. We’re going to stay in terms of that funding cost on the pieces.
Phil Mantua: Yes, I would clearly view that that is fairly fixed at this point. I don’t believe there is a lot maturing by term in there at this stage either. So yes I would consider that to be about what it should remain for the foreseeable future.
Mike Shafir – Sterne Agee and Leach: And then on the time deposits have been significant reductions over the last three quarters of another 21 basis points this quarter and you said you had another 40% of your CDs repricing in the last quarter?
Phil Mantua: That’s in the next six months and that would include this month of October. We have scheduled about 40% of that portfolio which is around $265 million of $660 million is scheduled to mature again. That’s correct.
Mike Shafir – Sterne Agee and Leach: Okay, so clearly it looks like there is a couple of quarters where you guys can continue to fight a potential NIM compression?.
Phil Mantua: Yes, I would say that’s a fair statement yes.
Mike Shafir – Sterne Agee and Leach: But as we kind of think about moving forward and then obviously the best resolution to that is to see some growth on the loan side of things. And as we’re looking at the portfolio over the last many quarters now started to come in, where do you guys potentially see some organic loan growth coming from in the next several quarters?
Dan Schrider: This is back to Dan, Mike. I mean, I think our focus in resources are clearly being put towards the activity in small business arena, small and mid-sized businesses. Obviously, there is still hesitancy because of what’s going on in the economy. But there’s also plenty of opportunity for us to bring relationships into our company from other – from other banks. So what’s transitioning right now is a move from as you might imagine a reactive portfolio management effort as we’ve worked through the cycle to a more proactive relationship expansion seeking opportunities from our frontline. And we’re not at a point where we’re able to do that. So we’ve got several things underway that we think can bring loan production up and get some portfolio growth in the coming quarters.
Mike Shafir – Sterne Agee and Leach: And then just looking at the portfolio this quarter. It looks like residential construction over the last quarters has now gone back up also with commercial construction this quarter showing an increase after you guys had a concerted effort in terms of reducing some of those portfolios. What kind of projects are those that are coming on? And also, what kind of yields are those coming on at?
Dan Schrider: The – the residential construction portfolio, that growth you’re seeing somewhat seasonal, but also somewhat the result of fewer players in the market that focus on that niche. So that growth you see in that portfolio represents loans to individuals for the construction of their homes. And that’s a real relationship product for us. So, often times, these are well healed borrowers building their dream home. And also affords us the opportunity to often times develop a commercial banking relationship, because they may own their own businesses and wealth management for them. So that’s the – this is the season of time where a lot of funding occurs and demand, as well as the fact that we’re one of three players in the market right now that do this business down from dozens of players in the past that we’re doing this business. So not a concern for us that that segment would be growing. And, likewise in the commercial construction fees, we do some healthy projects in the portfolio that are beginning to sell, which means that there is going to be funding in those projects to construct by their improvements on projects or going vertical on home construction. Not a lot of new production in that book as much as it is projects that are beginning to fund and progress positively. Yields on the commercial construction piece obviously are ranged by virtual of individual borrower, typically prime plus floating anywhere from a half over to one-and-a-half over plus decent fee income opportunities and we typically implemented floors on those relationships as well.
Mike Shafir – Sterne Agee and Leach: Then, also, as we just kind of think about the provision line moving forward, about I guess $4 million worth of reserve bleed this quarter. As we kind of start to move into – it certainly seems like things are more upbeat and you guys have worked through in abundance of the credit issues. And, while, some of these numbers remain higher, it doesn’t seem like we’re going to see a continued reserve build. So should we expect to see kind of a reserve bleed over the next several quarters then?
Dan Schrider: It’s probably – as you can see in this quarter, our charge-offs I think for the – probably for the first time exceeded our provision expense and so there was a little bit of releasing done, and that’s probably not an uncommon thing to expect as we work through this, all that to say that the work – we’re very optimistic, but we’re cautiously optimistic as we move through this cycle. And the reserve right now gives us probably a little more flexibility as to how we deal with the remaining MPAs in terms of the pace in which we move those off the portfolio and how we do that. And so, I think that needs to be considered in the equation as to what actually happens with the reserve levels. But clearly the trend you see right now in terms of provision expenses is not unexpected.
Operator: Our next question comes from Steve Moss.
Steve Moss – Janney Montgomery: Sorry, if you already spoke about this but I did miss the entire beginning of the call here. I guess start off with one housekeeping or two housekeeping numbers, what’s the AD&C [ph] balance here as of September 30th and the (Res E) mortgage lot loan balance.
Dan Schrider: We’ll get that for you momentarily, Steve.
Steve Moss – Janney Montgomery: Okay.
Dan Schrider: The AD&C balance at the end of the quarter was a little north of $150 million, $155 million.
Steve Moss – Janney Montgomery: Okay. And I guess the other thing like getting the residential mortgage, just in general what are you guys seeing for real estate activity in the region whether development projects or commercial real estate as well how are those things holding up?
Dan Schrider: What we’re seeing in the core markets for us or the ones that are border of the Washington area where we are predominately located is we are starting to see an uptick in activity on the home building side on the new construction side. So clearly not back to what we would think of as being historic levels what we’re seeing in absorption in these projects and builders actually turning dirt and going vertical. We’re taking obviously a very conservative approach in terms of what we allow, if anything ahead of any type of sales, so mostly this is being done on a presale basis. As you know, our commercial real estate exposure in terms of income producing exposure on office or retail is quite limited and very diverse and so our experience there continues to be very strong with no meaningful deterioration in that portfolio or any impact on MPAs. In terms of the broader market in commercial, I don’t think that there has been any meaningful shift from earlier quarters this year to where we are right now.
Steve Moss – Janney Montgomery: I guess one more thing, in terms of pricing on commercial loans these days, is it getting more competitive or is it holding reasonably constant?
Dan Schrider: I don’t think from quarter to quarter I would say that it’s getting more competitive. I think there’s clearly an appetite in the market to lend money despite what you might hear or read, all of us looking for a quality opportunities but still tends to be some decent pricing power within that book of business today.
Operator: Our next question comes from Brent Shiner [ph].
Brent Shiner: Hey guys, good quarter. I was actually going to ask about the reserve release, you guys gave some good color there. Just one question, I know this is done on a much more granular level but as we’re looking at this as outsiders, if there is a reserve to loan balance that you’re going to try to hold as you think about bleeding off reserves from a sort of more holistic level.
Dan Schrider: Brent, this is Dan. There really isn’t any target like that. We’re very disciplined about using our allowance methodology in allowing the risk rating profile within the portfolios to drive the reserve levels. That being said, I think the expectation of where reserves in the future will be relative to reserve levels in the past in community banking is that there will be more elevated than maybe what we were accustomed to, but our methodology is king on this one.
Operator: Our next question comes from Jennifer Demba.
Jennifer Demba – Suntrust Robinson Humphrey: Thank you, Jennifer Demba, Suntrust Robinson Humphrey. Just curious about what you saw in terms of Reg E impact this quarter and if you have any expectations in future periods.
Dan Schrider: Yes, Reg E impacts we projected and I think we’ve commented in prior calls that this was probably about a $1.5 million annual impact and so what we’ve seen from implementation of the Reg is really on track with that level. And so we would expect that to continue on a going forward basis absent any behavioral changes outside of specific Reg E impact.
Operator: Our next question comes from Bryce Rowe.
Bryce Rowe – Robert W. Baird: Hi, good afternoon Bryce Rowe with Robert W. Baird. Dan and Phil just wanted to touch base real quickly on the expense level maybe specifically on the salary line Phil, is this a good run rate to expect going into the fourth quarter and into 2011?
Phil Mantua: It’s probably pretty reasonable level. A lot of times when you come off the summer period where you have some temporaries and some other types of things that go on because I think we had a little bit of a decline here from the prior quarter, you know, you get a little bit of noise in there related to that but generally speaking I think that this is a reasonable level to work with as you move forward, yes.
Operator: (Operator Instructions) Our next question comes from Carter Bundy.
Carter Bundy – Stifel Nicolaus: Afternoon everyone.
Dan Schrider: Hey Carter.
Phil Mantua: Hey Carter.
Carter Bundy – Stifel Nicolaus: Carter Bundy with Stifel Nicolaus. Dan, could you talk a little bit more about the large relationships that went back to accruing in the quarter if you could add some color on that?
Dan Schrider: They actually were a couple of larger more residential mortgage relationships, so they were not out of the commercial portfolio just a matter of some credits and borrowers recovering after going through a difficult time.
Carter Bundy – Stifel Nicolaus: Is there any sort of outlook in the near term that you have some large relationships that might move back to accrual in the next few quarters?
Dan Schrider: I think the – probably lumpy, I think probably a greater opportunity at least as we’re working through this to exit some as opposed to having them move back into an accrual status and again that’s a subject to timing and exactly when I can’t predict but we’re working diligently on it.
Carter Bundy – Stifel Nicolaus: Do you feel you have those specific loans marked to where the losses would be relatively small?
Dan Schrider: Yes, we feel really good about the reserve levels we have and the values that we’ve marked against these and that’s been validated as we move through this cycle. So, yes, feel very good about that.
Carter Bundy – Stifel Nicolaus: Okay, so from a charge off perspective this might be a reasonable run rate with some lumpiness, maybe along the way.
Dan Schrider: Well, just laying that right now I think is difficult just knowing that we got $100 million or so of MPAs that we still need to work through. So run rate on that is kind of tough to predict at this point.
Carter Bundy – Stifel Nicolaus: And finally could you talk maybe just a little bit about some of the inflows you had in the quarter and how that compared over the last few quarters?
Dan Schrider: Two different comments, I’ll make there. One is, outside of the nonperforming bucket inflows is that we continued to see the negative drift very stable and low and that’s into lower risk rating categories. Give me a second here on moving into the MPA bucket. I do know from quarter to quarter that from every category of consumer residential mortgage and commercial loans of MPAs with the exception of OREO where you’ll notice we saw some increase every one of those categories was either level or net decline. So there was not growth in any one category.
Carter Bundy – Stifel Nicolaus: Okay and did you – is it right to assume that you had some upgrades in the quarter?
Dan Schrider: We did have upgrades in the quarter. The major change within the MPA category apart from those reductions that we’re able to achieve is we did have nine loans totaling about $2.5 million moved into the OREO category that will resolve, and then we had about a half million that was sold out of that category.
Operator: I’m showing no further questions on the phones. I would now like to turn the conference back over to Mr. Schrider.
Dan Schrider: Thank you. Thanks for your questions and taking the time today to participate with us. We would like to remind you that we would love to have your feedback to help us evaluate the effectiveness of our call and how we’ve done and you can email your comments to ir@sandyspringbank.com. Thank you all again and have a wonderful afternoon.
Operator: Ladies and gentlemen thank you for your participation in today’s conference. This concludes the program and you may now disconnect. Everyone have a great day.